Operator: Good day, and thank you for standing by. Welcome to the Frontier Group Holdings' First Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there are question-and-answer session. [Operator Instructions] Please be advised that today's conference is recorded. I would now like to hand the conference over to your speaker today, David Erdman, Senior Director of Investor Relations. Please go ahead.
David Erdman: Good afternoon, everyone and welcome to our first quarter 2023 earnings call. Today's speakers will be Barry Biffle, President and CEO; Jimmy Dempsey, EVP and CFO; and Daniel Shurz, Senior Vice President, Commercial. Each will deliver brief prepared remarks, and then we'll get to your questions. But first though, let me quickly review the customary safe harbor provisions. During this call, we will be making forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those predicted in these forward-looking statements. Additional information concerning risk factors which could cause such differences are outlined in the announcement we published earlier, along with reports we filed with the SEC. We will also discuss non-GAAP financial measures, which are reconciled to the nearest comparable GAAP measure in the appendix of the earnings announcement. So I will give the floor to Barry to begin his remarks. Barry?
Barry Biffle: Thanks David, and good afternoon, everyone. Our results for the first quarter reflecting adjusted pretax loss margin of 1.9%, slightly outperforming expectations on a strong spring break period. While demand during January and the first half of February was seasonally weak, particularly in off peak days, demand strengthened as we progress from President's Day through the spring break period. In fact, we operated an average utilization of 11.8 hours per day in March. The progression in demand throughout the quarter helped drive revenue of $848 million, a record for any first quarter in the company's history. We expect the strengthen demand for leisure travel to continue to extend into the busy summer travel season. The leisure demand is supported by consumer, which today has a greater propensity and ability to travel compared to pre-pandemic periods. More notably, they have far more flexibility to travel and to do so more often with work-from-home arrangements and flexible work schedules. We believe this is largely the basis for the surge in total leisure travel demand that began in earnest last year. It's showing resiliency, and we positioned ourselves to capture a disproportionate share of it through our low fair done right strategy and innovative product offerings. Our GoWild Pass, which launched last fall, is a prominent example. It's a leisure focused product were best suited to offer. Before the pandemic, this kind of product would've had the limited appeal. Today, however, sales have been strong with customers across many consumer segments, creating the building for inexpensive frequent travel. The Pass gives them the freedom and peace of mind to unlock unlimited and spontaneous travel to all destinations we serve. Of the Pass sales thus, far over half do not have prior travel history with Frontier. With this previously untapped customer base, we also have the opportunity to expand brand awareness and preference along with driving incremental revenues as these customers engage with our loyalty platforms such as Discount Den and the Frontier World Mastercard. It's a key part of our strategy to increase the contribution from loyalty and subscription related products, supporting our goal of achieving ancillary revenue of $85 per passenger by the fourth quarter and $100 per passenger by 2026.  The strength we're experiencing in leisure travel demand favors peak days and peak periods where we see an outsized contribution. This outsized contribution is a trend that has developed over the last year as we emerged from the pandemic. Having analyzed this new customer behavior and until peak and off peak demand relationship normalizes, we're reshaping our capacity beginning in the second quarter to exploit this dynamic and expect the changes to be fully deployed in the second half of 2023. We are excited about this ship and our ability to lower execution risk while maximizing revenue and profits. While we expect the update to our network strategy to enhance our operational performance and pretax margins, the resulting adjustments to capacity and utilization will increase our unit cost. With that said, we still expect our total cost advantage, which widened from over $60 per passenger pre-pandemic to over to $70 passenger in 2022 to further expand in 2023. We anticipate our cost advantage to benefit from the ongoing gauge and fuel efficiency benefits from the increasing mix of A321neo aircraft, the operational benefits from our enhanced network strategy and the significantly lower debt exposure we have compared to the rest of the industry  Overall. As a result of the planned network changes I've highlighted, we're adjusting our full year capacity guidance to reflect expected growth of 19% to 22%. The entire organization is aligned and focused on the return to double-digit pretax margins. Our second quarter guidance of adjusted pretax margins in the range of 7% to 10% is a significant step to getting double-digit pretax adjusted margins in the second half of the year and will represent the highest post-pandemic margins achieved by the company. With that, I'll hand the call over to Daniel for a commercial update.
Daniel Shurz: Thank you, Barry, and good afternoon, everyone. Total operating revenue for the first quarter of 2023 totaled $848 million, a record for any first quarter in company history, driven by RASM growth of 19% on an 18% increase in capacity, both compared to the 2022 quarter. The RASM increase was driven by a nine percentage point increase in low factor to 83%, and an 11% increase in revenue per passenger to $124, both compared to the 2022 quarter. Ancillary revenue performance continued to be strong even in the seasonally weaker first quarter with $80 per passenger generated during the quarter, $11 per passenger higher than the 2022 quarter. Last month we opened access to our GoWild Pass holders begin booking travel three weeks earlier than we had originally announced. Feedback thus far has been overwhelmingly positive with customers taking to social media's claimants benefits. In response to consumer demand, just yesterday we announced another GoWild promotion for the summer of 2023 pass for $499 during the month of May. The GoWild program is an important addition to our loyalty ecosystem. When supplemented with elite spending levels via our Frontier World Mastercard, customers now have the opportunity to travel on the unlimited amount without incurring ancillary fees for seats and bags. Further, as customers invest in the GoWild Pass on the Frontier World Mastercard, the value of the discount then becomes an obvious complimentary product. Explaining briefly on the shape our utilization changes to our network. We conducted a full review of profitability of the past several quarters and observed a clear change in consumer demand patterns. While overall leisure travel is increasing, the benefit is disproportionately landing on peak days and in peak travel periods. Prior to the pandemic, the RASM premium on peak days versus Tuesday to Wednesday was 19%. This premium has expanded to over 25% today. By maximizing flying on peak days and peak periods, and reducing underperforming flying in low demand periods, we believe we can generate better profitability with less flying, thus derisking our operations. Given our modular network approach, which has proven to be more resilient from a reliability perspective over the past few years, specifically reducing midweek flying on longer stage route is more operationally complex as it would cause significant crew inefficiencies. For this reason, we have eliminated a select number of longer haul routes as part of this network optimization, which will reduce our average stage length from 1070 miles closer to 1000 miles. That concludes my remarks and I'll now hand the call to Jimmy.
Jimmy Dempsey: Thank you, Daniel. Our first quarter results reflected pretax loss margin of 2% on a GAAP basis or minus 1.9% on an adjusted basis. The results are reflective of the seasonality of the business, but the seasoning week first half of the quarter substantially offset by a strong spring break period. RASM increased 19% during the quarter on an 18% increase in capacity. Fuel expense was slightly lower than anticipated, driven by an average cost per gallon of $3.45.  Adjusted non-fuel operating expenses were in line with expectations of $580 million or $6.61, 8% lower than the 2022 quarter. We ended the quarter in a strong financial position at $790 million of unrestricted cash and cash equivalents or $363 million net of total debt. We had 125 aircraft in our fleet at March 31 after taking delivery of six A321neo aircraft during the quarter, three of which were direct leases. As noted in our earnings release, Airbus notified us of its intent to shift its remaining aircraft deliveries expected in 2023 by approximately one month. This will cost two incremental A321neo aircraft shift from 2024, sorry, to shift into 2024 from 2023 in addition to the previous delays from earlier this year. Additionally, the 2023 delays cascading into 2024 are expected to result in no net change to the expected deliveries in 2024 as a similar number of number of delays are expected in 2024. Based on the revised schedule from Airbus, we expect to take delivery of four A321neos in the second quarter, three of which are direct leases; seven in the third quarter, four of which are direct leases and four in the fourth quarter. Additionally, we recently executed an agreement to extend the current leases on two A320ceo aircraft by four years, which otherwise were scheduled to return in the fourth quarter. Accordingly, we expect to end the year with 136 aircraft in our fleet, unchanged from our prior estimate. Turning to guidance. Second quarter capacity growth is anticipated to be in the range of 22% to 24% over the 2022 quarter. While our full year 2023 capacity is expected to reflect growth of between 19% to 22% over the prior year to align with the utilization changes presented earlier and the impact of the Airbus delays. Fuel costs are expected to be between $2.65 per gallon and $2.75 per gallon in the second quarter, and $2.80 to $2.90 per gallon for the full year 2023, based on the blended curve on April 24th. Adjusted non-fuel operating expenses in the second quarter expected to be between $645 million to $665 million and $2.5 billion to $2.55 billion for the full year. Our second quarter cost guide includes the deferral of an aircraft delivery into the third quarter and excess crew staffing resulting from the Airbus delays earlier this year. Full year cost reflect the deferral of two incremental aircraft deliveries into 2024, as well as the previously noted network changes detailed by Barry and Daniel, which deliver a similar level of departures on a shorter average stage length than previously planned. We are proud of our relative cost advantage of over $70 per passenger over the industry and are confident that with longer stage and maintaining higher utilization, we would've beaten our sub $0.06 [ph] CASM objective. However, we believe our network changes deliver a better profitability outcome for the business. Second quarter adjusted pretax margin is expected to be in the range of 7% to 10%, which will be our highest post-pandemic margin. While average adjusted pretax margin in the second half of the year is expected to be in the range of 10% to 13%. With that, I'll turn the call back to Barry for closing remarks.
Barry Biffle: Thanks Jimmy. I'm extremely proud of team Frontier and want to personally thank all of our employees for our performance during the quarter, including the achievement of high utilization during the peak March period. We're focused on achieving double-digit margins and expect that the strength of our ancillary product offerings and widening cost advantage position us well to achieve this target. In addition, we believe that the network updates we're making to capitalize on the post-pandemic demand changes have created a unique opportunity for us to optimize our capacity and our high utilization capabilities in a manner that enable us to lower our execution risk and maximize profits, putting us on track to return to pre-pandemic margins over the next year. Thanks everyone for joining the call. I'll now turn it over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Duane Pfennigwerth with Evercore ISI. Your line is open.
Duane Pfennigwerth: Hey, thanks. Appreciate the time. With your new or maybe increased emphasis on seasonality, could you just put that in context for us? Maybe compare a peak relative to a trough a month within a quarter? I assume, it's sort of within the week, as well as kind of month to month, so maybe -- just pick a September, for example. How would you be thinking about a September now relative to a July versus before you made this change?
Daniel Shurz: Duane, thank you. It's Daniel. It's much more day of week issue than it is a month-to-month issue. It's going to -- our peak day utilization is going to look very similar. We think month-to-month through the rest of the year, we're seeing peaks be strong even in off peak period. What you're going to see, I think, relative to where we would've been is what you're going to see is in the most significant periods, we're probably going to be about 20% smaller on Tuesday and Wednesday than we would've been prior to this. The overall difference is about 15% in the second half between our peak days and off peak days. And in the most significant period it's about 25%, but you would've seen a small difference in the past, so I'll call it about 20% in a month like September.
Duane Pfennigwerth: Okay. And then maybe just for my follow up, longer term in nature, is load factor something that you're driving to from a target perspective? What would be the goal on load factor over time? And how do you expect this shift to aid that goal?
Jimmy Dempsey: Well, load factor is, we only look at it as a function of total revenue and RASM. It is helpful when you're in a high ancillary business of the leader in the world to actually run a high load factor. And for that reason, we have been targeting it. You'll actually see that we've been improving in this area, and we expect to continue to improve. And we would like to get to a flown load factor that starts with a nine.
Duane Pfennigwerth: Maybe just one last little follow up there. The GoWild, to the extent you get to a nine, the GoWild, how many points would you anticipate that would contribute.
Jimmy Dempsey: In the one to three point range once it's mature.
Duane Pfennigwerth: Thank you.
Operator: Thank you. One moment for our next question. We have a question from Jamie Baker with JP Morgan Securities. Your line is open.
Jamie Baker: Hey, good afternoon, everybody. So, Barry, at Investor Day, you leaned pretty heavy into work life attributes that were helping you navigate the pilot shortage better than some of your competitors. Several months have elapsed since then, several new contracts have been reached. Spirit admits that it's raised isn't particularly helping things. I'm just wondering if your pilot staffing confidence is unfazed by anything you've seen since Investor Day?
Barry Biffle: It's unfazed. We remain in a surplus position. And we're really proud of what we offer and nothing's changed in that area. And in fact, we were just reviewing it earlier today and the attrition is right on target. And I think you just have to remember we have competitive compensation if you look over the first 10-plus years of their careers. We've also got a better work life balance as you mentioned with more days off than practically anybody else in the industry. I think we're averaging in the -- starts in the 12 range days per month for average bid line holders. So no, we have a robust recruiting and we don't have the attrition that you're seeing at some of these other carriers.
Jamie Baker: Perfect. And just as a follow up, historically, most U.S. airlines did not accrue for higher wages, new contracts. It caught me by surprise, as that convention appeared to change in the last year or so. Obviously, doesn't make sense before you reach your amendable date, but have you given any thought as to whether you might guide 2024 CASM reflective of a new contract, or will you just wait until it's ratified, which was the old school way of doing things?
Jimmy Dempsey: Jamie, it's Jimmy Dempsey here.
Jamie Baker: Hi, Jimmy.
Jimmy Dempsey: I mean, we -- how's it going? We haven't -- we need to open the contract. The contract expires at the end of the year and the early opener for the pilots is in July. I mean, we'll address next year's guidance when we get closer to next year. Clearly, we've -- we're aware of what's happening in the pilot world. We are staffing the airline very effectively, managing our contract and our relationship with the pilots in a very effective manner. Some of those other contracts were open for quite some period of time and also had deals on the table that showed substantial increases in in pay. We are some ways away from doing that, so -- but…
Jamie Baker: Got it. Thanks for the feedback. I appreciate it, gentlemen. Take care.
Operator: Thank you. We have a question from Conor Cunningham from Melius Research. Your line is open.
Conor Cunningham: Hey, everyone. Thank you for the time. Just in terms of the changes to the reshaping of your network. I'm just trying to understand why you're doing this now. I would've thought that some of these changes would've already been implemented. But just are you seeing off peak a lot weaker than you've anticipated, and then peaks just being that much better? Just curious if you're seeing anything on the margin from a demand standpoint that that's really changing how you're thinking about your network overall.
Barry Biffle: Well, look, it has changed versus pre-pandemic. As Daniel laid out, it was a 19% difference off peak versus peak prior to the pandemic. And we're seeing levels over 25% now. So, in some cases even more extreme in the off peak months for off peak days. So yes, the reason why we haven't changed is, is quite candidly. We are a high utilization business and we've actually run a lot higher utilization than most people on balance from a midweek perspective in the past. And we are now at the point we've seen several quarters. And we just -- the data's staring us in the face. And I think when you look at the first quarter in particular, I think, what I think's most interesting is we believe we could have made money from a profitability perspective, when we looked at first quarter had we made these changes. And so, one of the best ways to stop losing money is stop doing things that lose money. And so, we are on a go forward basis, we're reacting to this. And if the dynamics change, going forward, we'll look at it again, but we think this is the right path to get back to pre-pandemic margins.
Conor Cunningham: Okay. That's helpful. And then as you start to think about your 2024 plans and growth overall, I mean, there's been a lot of talk about capacity constraints, you've talked a fair bit about Airbus delays. Just why shouldn't we expect whatever we had in terms of our capacity growth plan for 2024, that it should be lower going forward. It just seems like a lot of these issues that we're talking about right now just won't necessarily dissipate going forward. Just curious on how you're thinking about that as we go onto 2024. Thanks.
Barry Biffle: Well, there will be delays in 2024. I think the biggest thing that you have to understand though is that the majority of the pain has already been felt. So, you're laughing when they first came in with this big delay, you moved a whole bunch of airplanes to the right. What's going to happen is yes, we'll move aircraft out of 2024 into 2025 at some point, but the 2023 that got moved into 2024 will actually deliver. So, I think you have to remember we have enough aircraft on delivery that we expect to continue to have sizable growth. So, I think what's more important when you think about Frontier versus the overall industry is that if you ask an airline today, would you take an airplane from the manufacturer that's maybe delayed a few months versus not have one, they'll take the airplane delayed and we have a very good order book, and it's a real asset to the business. So, I think, yes, it will impact 2024, but from a year-over-year perspective, I think you're not going to see the changes that you've seen in the past.
Conor Cunningham: Okay. Thank you.
Operator: Thank you. And one moment for our next question. Our question comes from Helane Becker with Cowen. Your line is open.
Helane Becker: Thanks very much, operator. Hi, everybody. Thank you for the time this afternoon. So, can you maybe, Jimmy, talk about the non-fuel cost pressures that you're seeing, like which airport cost maybe is included in that? I know salaries are up, but the other costs that you're experiencing?
Jimmy Dempsey: There's a couple of things. We're not immune to inflation like the entire economy. We are seeing some inflation in the business being offset by the growth in capacity and the average seats per departure are increasing considerably. And so that is effectively managed inflation. What you're seeing at the moment in the cost base is overstaffing from a crew perspective, both in the pilot and flight attendant world. And then, you have some noise around the delivery delays that are happening in the airline that move from one quarter to another some of the financing benefits that we get from sale of these packs [ph]. And so you have some noise that's going on around that where the typical Airbus delivery delay is now four to five months as opposed to three to five months previously. Outside of that, the business is -- from a cost perspective is operating very, very effectively. Our cost differential to the competition is still over $70 a passenger. Pre-COVID, it was $60 a passenger. And so our cost advantage against the rest of the industry has widened, and we expect that to continue.
Helane Becker: That's very helpful. Thank you. And then just as a follow up question. I noticed in the last -- I don't know, random survey, you guys were last in, I guess, consumer satisfaction, if that's a word. And I'm wondering how you're thinking about retaining customers as opposed to churning customers, or do I have that wrong? And you're not really churning, you just had some bad luck?
Jimmy Dempsey: Well, I think, when we look at the data, we have one of the highest repeat businesses in the industry. We have over 90% repeat business. Look, I saw one of these recent surveys. I think I would be very careful about the sources of some of these and how they base that off of. The other thing is, is when you look at the waitings of some of these, I guess, studies or analysis, they really don't wait price like they should. And what you see is that, that consumers when they buy air travel, the number one thing they look for, especially for leisure customers, is price. And so, if you wait price as it should be weighted, I think we're a clear winner when you look at the overall value for consumers. And that's why we continue to have such high repeat business.
Helane Becker: Thank you. Very helpful. Thanks guys.
Operator: Thank you. And our next question comes from Andrew DiDora with Bank of America. Your line is open.
Andrew DiDora: Hey, good afternoon, everybody. Just in terms of the network changes, right? I know, Barry, you speak about it lowering your execution risk, but I would think that more peak flying maybe kind of might increase operational risk a bit here. And am I right to think about it that way? And maybe what are you doing to potentially mitigate some of this operational risk at peak times?
Daniel Shurz: So, Andrew, it's Daniel. We're broadly speaking flying the same utilization on peak days. We're keep -- what I was saying is actually we're just going to keep the peak utilization up. Well, maybe apply slightly high peak utilization in and off peak month because we found the peak days in those off peak months, which a bit better, but we're not pushing our peak utilization higher than it was before. So, the lower execution risk is simply you've got more with lower off peak flying, you've got more recovery time during the middle of the week. We've got more recovery time on Saturday, which helps you. And we've seen that. We've seen evidence of this helps us run a better operation than -- on both those days and on the peak days of the follow up.
Barry Biffle: The other thing I would point out too is that if you look at the March and especially April, we're the highest utilization airline in total, not just peak days, in total. And yet we've been mid pack or higher. I think we're fourth place in completion in April as an example. So, if you can trust anyone to run high utilization effectively and reliably, it's Frontier.
Andrew DiDora: Got it. And then, sort of a follow up to an earlier question regarding your costs. I guess 2023 capacity came -- did come down a decent chunk, but your -- the midpoint of your OpEx guidance went higher. Can you maybe provide a bridge on what is driving that, Jimmy, maybe providing some of the bigger cost buckets, that's driving OpEx higher even while capacity is coming down?
Jimmy Dempsey: Yeah. I mean, I mentioned it earlier to Helene's question. The movement of aircraft out of the period is one of the big drivers of increasing the higher range, the higher end of the range. The other thing that's happening in the business is you have a similar number of departures, but lower ASM production because the stage length is shortening. And so, you have a very similar overall cost base, albeit on slower ASM produced capacity, but a similar level of departures. And so, you end up with a similar cash cost effectively. You do save some money on fuel, but your airport charges, your station costs in general, and the ground handling costs typically stay similar, and so that's all you're seeing at the moment.
Andrew DiDora: Got it. And if I could maybe speak one more in there. Just in terms of pretax margins for the year, obviously fuel came down a bit, your costs started moving higher. Anything change from your perspective in the way you're thinking about the revenue cadence throughout the year?
Jimmy Dempsey: Not really. We're expecting the revenue for the rest of your -- we're expecting domestic to look much more like normal years. We're expecting peaks to be good. We're expecting the summer, therefore Q3 to be -- Q3 to be strong with the usual. We're expecting the usual holiday strength in Q4. So we're expecting the cadence through the year to be much more like a normal domestic year.
Andrew DiDora: Okay. Thank you.
Operator: Thank you. Our next question is coming from Brandon Oglenski from Barclays. Your line is open.
Brandon Oglenski: Hey, good afternoon and thanks for taking the question. I guess, this one's for Barry or Daniel. With the off peak changes, does this change in any way, like your new market strategy, especially in the back half of the year as you get into the more trough period after the summer?
Barry Biffle: No. This wouldn't change our new market strategy in particular. Although, longer hauls are more complicated because if you do want to reduce midweek flying, it causes inefficient crew pairings, it causes deadheads as an example. And I would say, if you just look at a specific city where this has been most pronounced, it's Las Vegas. I mean, we have seen that the midweek is just nowhere near what it was prior to the pandemic. I mean -- and you can see it in the pricing of hotels in Las Vegas, you can see it everything, you can see the strip is packed on a Friday night, but on a Tuesday it's just little, you can get a reservation anywhere you want. And so that is reflecting in our loads as well, as well as fairs. And so that impacts Las Vegas and it especially impacts long hauls from Vegas as an example. So -- but overall, we haven't seen anywhere else be that challenge like we've seen in Las Vegas.
Brandon Oglenski: I mean, I guess, Barry, some of the concern in the market is you do definitely have the absolute cost advantage, but is that just not resulting in the stimulation that you guys were seeing maybe pre-pandemic?
Jimmy Dempsey: No. Brandon, I'll take this one. We're seeing demand strength. We're seeing the ability to stimulate demand in new markets. We are still aggressively expanding the airline. We are aggressively adding new markets. And we're absolutely seeing that strength come through. What we're saying here simply is in off peak periods, off peak days a week have been -- are further underperforming relative to what we saw pre-pandemic. But again, that's not to say that we don't want -- that's not to say we're going to find expansion, we're not going to simulation. I can point to markets where -- which were new last September compared to pre-pandemic, where on the peak days a week we saw very strong performance. We saw great demand. And we continue to see in the future lots more markets where we think we're going to see exactly the same thing.
Brandon Oglenski: Okay. Appreciate that. And maybe just one last one on utilization. If you are taking down off peak, how do you plan to match utilization? Or do you take a slight penalty there too?
Barry Biffle: I wouldn't slight penalty there too, in addition to what we're not -- I mean, look, utilization will be slightly lower, but overall our cost advantage, we expect to widen. So, let's be clear that our cost advantage is widening even with these changes. So, this is less than a 10% move. This is not that dramatic of a change. We expect that this is accretive couple points in margin from a profitability perspective. So, this isn't a major change in our business. It's just a tweak that we're just seeing that travel patterns, people are willing to pay a lot more to travel Thursday, Sunday than they did even before. And there's more of them. But the work-from-home and I would actually argue it's less the work-from-home, but more the work flexibility where people are working two and three days a week in the office. The most common two days in the office are Tuesdays and Wednesdays. It's no coincidence, it's -- this is not some just mysterious black box of information. That's why travel for leisure is the hardest on Tuesdays and Wednesdays. And so that, to be blunt, we've got to utilize the airline and we're better at it than anybody on the other days of the week. But Tuesday, Wednesday's just not as pronounced as it was before, but it's not going to kill our business …
Brandon Oglenski: Thank you, Barry.
Barry Biffle: Yeah. Thanks.
Operator: Thank you. And our next question comes from Michael Linenberg from Deutsche Bank. Your line is open.
Shannon Doherty: Hi, good afternoon. This is actually Shannon Doherty on for Mike. Barry, I appreciate the details that you gave in the script about the GoWild Pass and saw that you recently put Summer Pass on sale, I think for 499. I just wonder whether that was demand driven or if you're just trying to sell even more? And like do you hit a limit in the number of passes that you can sell, maybe unlike a credit card, just thinking about fleet growth and capacity.
Barry Biffle: Well, there -- they're actually -- I mean, ultimately there's a limit. We want to -- we want GoWild to be the highest NPS product that's out there. We want to sell it at favorable prices, but ultimately there is a limit, just like there's a limit on how many seats you can sell. And even I think credit cards would actually eventually have a limit to people because they only have so much capacity. But no, we're really excited about it. It's probably been the best received product that we've ever launched. And I think -- if I recall, I think you were personally interested in it yourself. So, hopefully, you've taken advantage of the great deals and we're really excited about it. But yes, there is ultimately going to be a limit. But we've said this before publicly, and that's why I said, it could be a couple points in load factor is look, we had 6 million seats that were going to potentially go empty. We've said if we could just fill a third of those, that's 2 million seats. This isn't tough math, right? That's several points in load factor. And so you can kind of back into there -- yes, there will be a limit based on how many times they fly, and how much the usage is, is how many we could actually sell. And so -- but we don't believe we've hit that yet.
Shannon Doherty: Great. Thanks. And just my second question. I noticed that you guys filed a schedule through spring 2024, but about a week ago, fully cut it beyond November. What was that about? Was that more just unsure about the demand beyond the summer? Or does it have to do with this peak -- off peak month and day changes that you guys are making? Anything you have there would help.
Daniel Shurz: It's Daniel. No, that was actually an error, but that was an error by the industry schedules provider. They mistakenly took our full schedule and just extended it forward into the winter. We put -- we have a schedule on sale to customers through November -- through November 15th. We -- that's the -- furthest out extension we have for this year. And we've never had a date on sale to customers beyond that time.
Shannon Doherty: Got it. Makes sense. All right. Thank you guys.
Barry Biffle: No, thank you.
Operator: Our next question comes from Christopher Stathoulopoulos from Susquehanna Investment Group.
Christopher Stathoulopoulos: Good afternoon, everyone. Thanks for taking my questions. So, Barry, I think this is the second cut to the 2023 capacity guide, it's around I think $42 billion ASMs you outlined in November. February was on Airbus. Today's network changes, and it sounds like some additional delays, but of smaller size. At this point, if there are additional delays in deliveries, can you offset that with utilization or something else? And just how do we get comfortable with the current guide in light of what looks to be -- like elevated risk with the OEMs at least through year-end? Thank you.
Barry Biffle: Well, I think, look, we have been disappointed in their delivery stream. But I think as we get closer and closer and we're watching them, like a hawk to be honest, I think we're growing in confidence that yes, it's firming up. I think they've gotten their bad news out. And I think, it's -- I think it's pretty tough. But again, I'm not going to speak for Airbus, they could have another challenge, but it looks pretty good. On a utilization basis, look, I mean, if fuel prices change, if demand changes somewhat, we have the ability to add more capacity. But I think at this point, given that they're four months in and they've pushed another two aircraft, I think that kind of shows the magnitude of the change, which is not a big material piece from here on out. And again, like the capacity change we're making right now, this is elective. We could put these ASMs back in. We just think that we can make more money without flying them. And quite honestly, we'll make more money and we continue to have the lowest cost in the business and we'll have an even widening cost advantage. So, it's really an unnecessary utilization.
Christopher Stathoulopoulos: Okay. And as a follow up, so as we look at the network plans that you outlined in November, which included this focus on building a more modular network, does this change in capacity impact the plans? Is it sort of unchanged, and just there's a different path now to get there? Or is it going to take longer? Just if you could put a little finer point on how we should think about the plans you outlined at your Investor Day versus this new dynamic, yeah, plans you have. Thanks.
Daniel Shurz: Absolutely. This is Daniel. From a modularity perspective, we were talking in November, we implemented that high -- that increasingly high modularity network in November. We have continued to work in that -- with that design approach to the network. That will continue even with this off peak capacity. We will -- we've made the network increasingly designed around one day crew trips, one day crew trips obviously work perfectly with day of week variance, because if you have the trip in the schedule on Monday and you don't have it on Tuesday, that's fine. And to the extent we are a mix of one and two day crew trips primarily, two day crew trips, we'll make sure they're in markets that actually want to fly seven days a week. So there's not a problem with that either. So I don't expect any change to the modularity. I don't expect any change to the crew efficiency from moving in this direction.
Christopher Stathoulopoulos: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Felipe Nielsen [ph] from Citi. Your line is open.
Unidentified Analyst: Hi, guys. It's Felipe speaking from Stephen Trent team at Citi. Thanks for taking all the question. Well, we are curious about to hear from you about, to what extent do you see upside from co-chairing with Mexico carrier Volaris, in case Mexico regains its category one status on safety rating. And then I have a follow up question after that.
Barry Biffle: Okay. Daniel, can answer it?
Daniel Shurz: So, yeah, we obviously have a co-chair share with Volaris. We're suspend under the downgrade of Mexico. We are not allowed to co-chair on Volaris. Volaris continues to operate a co-chair on Frontier flights. And assuming Mexico is upgraded -- when Mexico is reupgraded to category one, we will resume putting our code on Volaris operated flights.
Unidentified Analyst: Okay. Great color guys. And just a second follow up on my side. How do you feel about your current pipeline of mechanics? Do you see any risks there? Curious to hear about?
Barry Biffle: That's a great question, Felipe. People talk a lot about the pilots, but actually the mechanic shortage is also real. It's not kind of the numbers that we've seen for the pilots. But it is a challenge. And the industry overall has had some difficulty, I think, attracting the younger generations to go and choose that vocational path and get into training. We have actually seen, I think pockets of issues. So, it's a little different than the pilots because the pilots, you can move them around the system, if you will. It seems to be much more local market issue, where we have challenges in some places. But we've seen strength in kind of the sunbelt, where -- in the pockets where we're growing the network. But then you're also seeing some cities, there's shortages. So, it -- and it changes the incentives you have to have in order to hire them. And they vary by city. And we've been doing a lot of things to actually, just like we've done, we haven't been talking about it. But just like we've been doing our cadet program, our head of HRs, he has been going out and putting together a recruiting team, and we're working with a lot of the schools, that are producing a mechanics. And so, we feel good about the pipeline that we've put together. But yes, it is issue. A lot of people don't want to talk about it or haven't recognized it. But it is an issue. And we're-- we've been managing it now for well over a year. But the truth is, is that Frontier remains an attractive place to work for our pilots as well as mechanics. And so, we have a pretty good pipeline of folks coming in.
Unidentified Analyst: Clear. Super clear. Thanks for calling guys.
Barry Biffle: Hey, thanks Felipe.
Operator: Thank you. I'm showing no further questions in queue. I'd like to turn the call back over to Barry Biffle for closing remarks.
End of Q&A:
Barry Biffle: Hey, I want to thank everybody for joining today, and especially those of you that ask questions, appreciate those thoughtful questions, and we look forward to talking to you again in the next quarter. Thanks everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.